Lisa Lim: [Call Started Abruptly] Bringing you through the presentation today are CEO, Anders Onarheim; Deputy CEO and Head of Strategy, Kristian Sørensen; EVP Commercial, Niels Rigault; and Interim CFO, Head of Investor Relations and Corporate Development, Iver Baatvik. We are pleased to answer questions at the end of the presentation [Operator Instructions]. Before we begin, we wish to highlight the legal disclaimers shown on the current slide. This presentation held on Zoom is also recorded.  I’ll now turn the call over to BW LPG CEO, Anders Onarheim.
Anders Onarheim: Thank you, Lisa. And welcome to our Q2 2023 Results Presentation for the financial period ended 30th of June this year. It's been a strong first half year for BW LPG. We've been busy. On the shipping side, our expanded fleet with new pool vessels allowed us to capture value in the buoyant market at an impressive 99% utilization. Kudos to the commercial team. VLGC rates surged well above the seasonal averages for recent years. As an example, TCE rates from the Ras Tanura to Chiba trade route was twice the average to that of the same period last year. Our India business is also delivering steady returns and we are actively looking to increase our presence further in this fast growing market. We are very pleased to see that our strategy developed over the last several years, including an expanded position in the value chain and disciplined fleet renewal is starting to bear fruits. Our Product Services business is developing nicely and Kristian will give you some further details of the developments here. Also, we're extremely pleased to see sharp improvements in the uptime on running our retrofits in LPG. The fuel savings are substantial and the CO2 and other footprints drastically reduced. In this favorable market, we continue to generate substantial free cash flow and our balance sheet is rock solid. Reflecting this, we did a share buyback through a reverse book building process in June and we continue to return capital to our shareholders through attractive dividends. For the first half of 2023, we will have distributed nearly NOK20 per share. This equals to an annualized dividend yield of around 30%. Let me now move on to the highlights for the quarter on Slide 4. For the second quarter, we announced a dividend of $0.81 per share, which translates into an annualized yield of 29%. We're also pleased to announce that we have decided to work towards to dual listing of LPG shares in the US. The US listing is expected to expand the potential investor universe for the BW LPG share and thus improve the underlying trading activity. With the strong expected financial returns and an attractive dividend policy, we anticipate good interest from a broader group of US investors. Also, given the increasing importance of US shale activities for LPG shipping, we also find it interesting to engage with knowledgeable shareholders and investors in that market. More information on this process will be announced when available. After the end of the quarter, we amended our $400 million senior secured facility, converting $110 million of term loan into revolving credit facility where all of the terms have changed. Now switching to our market outlook. We reiterate a positive view for the remainder of 2023 and also for 2024, amid high volatility. Key reason for this include an oil price that's very much conducive to continuous strong US exports and steady export growth in Middle East and new PDH plants coming onstream in China, and we see that the new plants have been commissioned often have a high operating rate. The delivery of VLGC newbuildings will slow down considerably after January 2024, which will set the stage for an interesting year. In fact, shipyards are now booked all the way into 2027, so there's a little chance of increasing near to medium term VLGC deliveries. While the factors mentioned above do paint a positive picture for the VLGC shipping market, it's also important to remind ourselves that things can change quickly. We're mindful of the current uncertain macroeconomic and [microenvironment], especially in China and how much this can impact both investments in and demand for LPG. Also, let me echo Michael [Indiscernible]. The continued strong VLGC market requires a strong degree of discipline respect to ordering new buildings from leading players in this market. Those are the highlights. Niels will now take you through the market and shipping performance segments. Niels?
Niels Rigault: Thank you, Anders, and hello to everyone listening. Let's direct our attention to Slide 6. The second quarter presented volatility but showed stronger performance than expected, making it the third best quarter in the VLGC history. This is notable since Q2 is typical seen as the weakest quarter. Freight rate experienced a dip reaching a low at $40,000 per day. However, throughout the quarter, spot freight rates displayed a sharp upward trend by the end of June. The number surpassed triple digit TCE figures on all main routes. This quarter robust performance can be attributed to two main factors: one, China's substantial purchase to boost their LPG inventories in the response to heightened demand within their petrochemical sector; two, a surge in export from the Middle East, especially from Saudi Arabia due to reduced domestic consumptions. Compared to the same timeframe in 2022, there was a 19% growth in the Middle East. In sum, 562 VLGCs were loaded worldwide in Q2, making a 5% increase from the record levels witnessed in Q1. As you look ahead, our outlook on the market remains optimistic and concerns regarding the order book are reduced. The global fleet has already received 50% of the 42 VLGC newbuildings set for delivery this year. Neither utilization nor rates have been adversely impacted thus far. Let's move to Slide 11. Our TCE performance for Q2 stood at 52,500 per available days for the entire fleet accounting for our fixed TCEs and derivatives. Our available days for this quarter were bolstered by a booming spot market where we realized an average rate of 63,900 per day, excluding waiting time and fixed positions. Considering the current unpredictable market exploded by several uncertain factors, we remain committed to safeguarding the downside at the optimal level. For the remainder of '23, 34% of our fleet is covered on TC with an average rate of $38,200 per day. Evaluating our TC ins and TC outs balance, we have fully covered our TC in book for '23, securing a profit of $43 million. Additionally, 9% of our calendar days are hedged through derivatives at an average rate of 36,800 per day. For '24, our fixed contract coverage is currently at 12%. This figure sits at the lower threshold of our desired downside protection. We're targeting coverage similar to '23, aiming for 20% to 30% fixed rate coverage from the TC market and roughly 10% through the paper hedges. However, anticipated rates for '24 could surpass '23 levels. To provide some perspective on the potential achievements in the time charter market, recent TC contract for next year spanning for a two year period are obtaining a range between $40,000 to $50,000 per day depending on the ship technology. Predictions for the FFA or derivative market next year hover around the mid low to $50,000 per day. For Q3, approximately 85% of our available days are fixed at an average rate of around $61,000 per day, inclusive FFA's and TC's impacts. The achieved spot rate stands at $84,000 per day. Given the continued robust performance on the current spot market, Q3 final earnings are poised to be notably strong. Before giving the word to Kristian and since I have your attention, I would like to thank Anders Onarheim. Being Head of Commercial under your watch has been an honor. Your knowledge for good business and excellent decisions have made our shareholders richer. Numbers never lies. And since you started on 9th of December 2019, shareholders have experienced a 200% return on their equity. On behalf of everyone in BW LPG and your shareholders, thank you, Anders. Kristian, and I'll pass it to you.
Kristian Sørensen: Thank you very much, Niels, kind words here to Anders. Well deserved Anders. And let's move on to Product Services performance. As announced in July, we reported an accounting loss of $31 million in Q2 due to the time lag effect between the derivative positions and the 12 months forward rolling valuation of physical shipping positions. For better transparency, we have illustrated the discrepancy between the accounting P&L and how the trading book is valued internally. Our internal valuation of the five TC in vessels increased to $34 million for the quarter, giving an estimated non-GAAP trading profit of $3.2 million for Q2. This reflects a continued strong development in the 12 month forward freight market for VLGCs, which is the period for which we used to evaluate freight positions in Product Services. As you also can see, the bar is relatively stable and the portfolio is well balanced between cargoes, shipping and derivatives from a trading book perspective. And so far in Q3, we have seen that the tables are turning on the back of profitable positions. After nine months of operation, we are very happy to see how BW Product Services platform provides BW LPG with improved information flow, optionality and a large footprint. Product Services are also looking at expanding the physical presence in key markets to broaden the platform and trading portfolio. Next slide, please. This slide is a tribute to our technical and operations team as well as to our crew on board our vessels who have enabled us to capitalize significantly on our retrofit program. As the spread between compliant fuel and LPG widen, our cost savings in the first half of the year is more than $4.5 million on top of a considerable reduction in emissions from our fleet. We are realizing on environmental, operational and financial benefits of LPG propulsion. And LPG remains a cost effective and readily available fuel, which we still believe is under communicated as an important transition fuel towards our zero carbon journey. First half of this year, our retrofit program generated an IRR of approximately 25% and shows our ability to develop projects that generate solid returns to our shareholders. BW Product Services, the development of BW India as well as our dual fuel retrofit program are examples of strategic decisions, which have been made to build a more robust company that is well positioned to meet the regulatory requirements in the future at the same time as we continue to generate solid returns to our shareholders. In the coming years, we will carry on the journey that was started under Anders' tenure, and the incoming management will continue to build a return focused business, which is sustainable, both financially and environmentally. And although asset prices currently are elevated, you can expect us to continue our pursuit to renew the fleet and to invest more into the LPG value chain. And with that, over to you, Iver.
Iver Baatvik: Thank you, Kristian. Starting with the income statement. On a consolidated basis for the second quarter, we reported a net profit after tax of $78 million. This includes a $9.5 million profit from BW LPG India and a $31 million reported loss from Product Services as well as a $27 million gain from the sale of BW Odin and BW Austria. As explained by Kristian, our trading profit adjusted result ended at $112 million, which after adjusting for minorities, as we hold 52% of BW India and 85% of BW Product Services, translates into an adjusted earnings per share of $0.81 this quarter. Given our net leverage ratio at 19%, the Board has decided to declare a Q2 dividend of $0.81 per share, equating to a payout ratio of 100% of our trading profit adjusted results. Our balance sheet ended the quarter with shareholders' equity of $1,532 million. If we adjust for the $460 million excess in broker values over book values, we reached an adjusted NAV per share of NOK150. This is an uplift from book values of about $3 per share after adjusting for the minority interest in BW India. Our positive free cash flow of $195 million this quarter was derived mainly from our strong operating cash flows of $150 million and a positive CapEx inflow of $45 million. The CapEx inflow is a net from the purchase of BW Messina, selling of BW Austria and BW Odin and two drydockings in the quarter. Our return on equity and capital employed for Q2 2023 were 20% and 14% respectively. Next, we move on to some key statistics on our shipping business. Our daily OpEx came in at $8,800 per day, which is a flat development from the same quarter last year. For 2023, we expect our operating cash breakeven for our own fleet to be at $19,100 per day. This is down $500 per day from the Q1 report, driven by the early debt repayment I'll mention on the next slide. Slide 15 provides a summary of our liquidity position. On a consolidated basis, we ended the quarter with close to $0.5 billion in liquidity, made up of $251 million in cash, net of $80 million held in broker margin accounts and $241 million undrawn in the revolving credit facility. Ship financing debt at the end of June was $397 million. After the end of the second quarter to reduce our debt cost but maintain financial flexibility, we made an early debt repayment of $110 million on our $400 million facility and increased the revolving credit facility with the same amount with all other terms unchanged. We also reduced our interest rate hedges with about $100 million to $238 million, maintaining a hedge interest rate at 2.1%. The gain from unwinding of the interest rate hedges will be amortized over the remaining loan period. On trade financing side, we are on track to further expand our lending group and upsize our lines to $800 million. For perspective, these lines will allow up to about 8 million tons of yearly traded physical LPG volumes from the US to the Far East under current market conditions. At the end of June, only $48 million or 7% of our current $660 million in lines have been used. The low utilization is due to timing effects, and we expect it to average higher in the coming quarters, though maintaining a healthy headroom. Then to just clarify on our guidance, for Q3 2023, we had fixed 84% of our available fleet days at an average rate of 65,000 per day, including the impact from FFAs. Back to you, Anders.
Anders Onarheim: Thank you, Iver. I just mention that I would like to take this opportunity to thank all the stakeholders on the call, it's been a privilege to interact with all of you. As I go into my last month as CEO, I can assure you that Kristian, Niels and the team will continue to work hard to create long term value for all stakeholders. I will remain a keen shareholder in BW LPG but I also promise the team here that I will not ask difficult questions on the next earnings call. On this note, let me open the floor for questions. Back to you, Lisa.
A - Lisa Lim: Thank you, Anders. We will begin our Q&A session now [Operator Instructions]. We have two. The first one, Petter, please unmute and ask your question.
Petter Haugen: You talked about renewal here, Kristian, in a way which made me -- well, it's not concerned, at least curious if that means lots of newbuildings now being the aim to deploy the profits over the past quarters and probably coming quarters.
Kristian Sørensen: We still believe it's -- the prices are too elevated like I mentioned. So there are no talks about newbuildings at the moment.
Petter Haugen: At the moment, okay. That was good to hear. Another question, I might be too demanding. But within our modeling, we expected actually higher rates for Q3 compared to what you guide for now. But in order to try to understand where we are, and sort of too greedy here, if you will. To what extent does the Panama Canal -- so we've heard others talk about the Panama Canal being not longer an option, meaning that the conventional voyage calculations, I suppose many of us use return a too high number as the alternative would incur longer selling days and higher fuel costs as well. So could you share something -- some more details on how you do the actual sort of post voyage calculations compared to what the market is over the past few months?
Anders Onarheim: Niels, do you want to have a go on that? I mean I can just say before Niels go out. Of course, Niels, it does not get totally a range to just go out and be in the spot market the whole year. I mean, both myself and the Board, of course, we want to make sure that we have -- we take some downside protection. So that's a stated policy from a company that we do not want to be 100% exposed to the spot market. And sometimes that makes a lot of sense, sometimes we leave something on the table, but I think that's a planned strategy. But Niels, why don't you fill in.
Niels Rigault: And I don't think I'll go into detail. So we can do that on a separate call for voyage calculations. But I would say just that, yes, the market is high and one of the reason is also because of the inefficiencies. And you're right, we do see a lot of -- several or more ships using the Cape or Suez Canal. The Panama Canal has in Q2 and continued in Q3 to be a little bit sometimes a bingo. Sometimes you can go straight through, although you have to wait for a week or two. We've also seen that when the Panama Canal are opening up for auctions. The prices, some of the VLGC owners are willing to pay just to pass the Panama Canal it’s up to $2 million for one leg. So that obviously have an impact on the voyage calculations. But yes…
Petter Haugen: I don't doubt that at all. But in order to try to be more specific in our numbers now for Q3, if we assume one month of lagging, we would expect the spot market in that time period to be around $20,000 per day. But by just how far off are we if we were to compare it with what this actually done on a TCE basis then, of course, spot voyages.
Kristian Sørensen: I mean I just guided that for the Q3 numbers and that's obviously including the derivative positions in our TC coverage. But I also mentioned our spot performance and that was in the mid $80,000 per day.
Lisa Lim: [Indiscernible], please go ahead.
Unidentified Analyst: My question was concerning the Panama Canal, which was actually just addressed by the previous question. I would like to thank Anders for being such a wonderful CEO. It was a pleasure meeting you in New York, best of luck on your future endeavors. One thing of concern I had is the US listing that you plan on doing, is there any time line or specific goal for that listing in 2024?
Anders Onarheim: I think at the moment, it's -- obviously, we want to take our time and do things properly. So we haven't said anything specifically. But I mean, you can assume that we're working diligently and as quickly as we can. And so it would most likely be early 2024 that we are ready.
Unidentified Company Representative: And we have one question from the chat from Frederik Ness. He asks, how has vessel speed development in 2023, why has it changed and what you expect for '24 and '25?
Niels Rigault: Maybe a question for me. So far in 2023, we haven't seen any big speed production. I mean, I think that the average speed for the fleet is about NOK15. But we do expect that -- and the cost of the new regulation kicking in, that's going forward, in '24 and '25, some of the -- well, I would say, 50% of the fleet would need to reduce speed in order to be compliant, but the effect as of now, we haven't seen it. So again, that's a little bit some of the bold stories for next year is that a majority of the fleets or a big chunk of the fleet need to reduce speed.
Lisa Lim: [Operator Instructions] We have another question from the chat channel. Glenn?
Anders Onarheim: I think that question disappeared.
Unidentified Company Representative: The next question is from Mattias with UBS and he asks, could you please comment on the increase of the voyage expenses quarter-on-quarter by $19 million?
Anders Onarheim: Iver, can you help him with that?
Iver Baatvik: I think it's mainly due to higher voyage costs and Canal costs related to the Panama Canal.
Lisa Lim: [Operator Instructions].
Anders Onarheim: Okay. With that, I thank all for listening in, and I wish you all a great day.
Lisa Lim: Thank you. We have come to the end of today's presentation. Thank you for attending BW LPG's second quarter and first half 2023 financial results presentation. More information on BW LPG and BW Product Services are available at www.bwlpg.com and www.bwproductservices.com, respectively. Have a good day and good night.